Operator: Good morning. My name is Kayla and I will be your conference operator today. At this time, I would like to welcome everyone to the Valmont Industries, Inc. Second Quarter Earnings Call. [Operator Instructions] I would now like to turn today's call over to Mr. Jeff Laudin, Manager Investor Relations. Please go ahead, sir.
Jeff Laudin: Thank you, Kayla. Welcome to the Valmont Industries' second quarter 2015 earnings conference call. With me today are Mogens Bay, Chairman and Chief Executive Officer; Mark Jaksich, Executive Vice President and Chief Financial Officer; and Tim Francis, Vice President and Corporate Controller. Before we begin, please note that this conference call is subject to our disclosure on forward-looking statements, which applies to today's discussion and will be read in full at the end of the call. The instructions for accessing a replay of the call can be found in our press release. I would now like to turn the floor over to our Chairman and Chief Executive Officer, Mogens Bay.
Mogens Bay: Thank you, Jeff, and good morning, everyone. Thank you for joining us and I trust you've all read the press release. Even though we are in cyclical businesses, Valmont has over time benefited from the fact that our various businesses cannot run in parallel cycles. In 2012 and 2013, that was not the case. Most of our businesses ran strong markets leading to record performances in our utility and irrigation segments and for the company. Currently, we are in a similar, but quite different situation. We are in an environment where all of our businesses are facing headwinds. Depressed public spending for infrastructure, lower agricultural commodity prices and depressed mining industry, sharply lower crude oil prices and a significant increase in the value of the US dollar present significant challenges for our businesses. We do not anticipate any material improvement in this external environment for the foreseeable future. So in order for us to deliver improved earnings going forward, we must rely on the aspect of our businesses we do control. A relentless focus on cost take out, operational improvements, optimizing our global footprint and significant controls of all discretionary spending is absolutely imperative. We are currently in the process of executing the restructuring actions we announced in April to ensure that our cost basis entering 2016 will enable us to markedly increase our earnings without much help from the marketplace. Between now and the end of the year, we will be on a difficult, but necessary journey. Not only should these actions assist us in improving our earnings going forward, but by lowering our overall cost structure we should see significant leverage opportunities when the cycles do change and our markets improve. We will have plenty of capacity to meet increased demand even after our restructuring, so significant capital spending will not be necessary for the foreseeable future. Encouraging is the fact that we delivered 10% operating profit as a percent of those sales in a most challenging environment. Fundamentally and over the long-term, our businesses are solid and serving important markets. Products and services for infrastructure development and water saving technology for agriculture are essential to support economic growth and to feed an increasing world population demanding better diets. We are obviously not happy with current market conditions, but I am pleased with the internal efforts I see to improve our businesses and I am enthusiastic and confident in our long-term opportunities. Now, let me turn to comments on the second quarter by segment. In the Engineered Infrastructure product segment, the major reason for the revenue decline was currency translation, followed by customer delays for large wind turbine [ph] structures, reduced demand and a strong deliveries for offshore products, driven by the significant fall in oil prices and continued weakness in Australia driven by the depressed mining industry. On a positive note, our North American lighting and traffic product lines showed gains in sales and profitability and the October 2014 Shakespeare acquisition, a composite structures company made a meaningful contribution to our results. Our Valmont SM subsidiary in Europe has a history of being able to leverage the unique manufacturing and engineering capabilities to enter new markets, and in view of the softness in oil and gas, they have stepped up those efforts with some success. One example is the co-operation between our European Utility Sales Organization and Valmont SM to land a $10 million utility transmission project in Germany for large long structures. This project will deliver in 2016. This is a good example of success on leveraging capabilities across business units. The acquisition of Valmont SM has brought significant capabilities for very large deal structures to Valmont. I am also pleased that our China operations are delivering improved performance despite a general slowdown in the economic growth in that country mainly as a result of successes in serving the Chinese wireless carriers with structures. Restructuring and Engineered Infrastructure product segment during the quarter was focused on the consolidation of small access systems facilities in Australia and China. We also reduced SG&A overheads in Europe. In the Irrigation segment, we experienced volume declines as a result of low commodity prices and declining farm income. And last year, sales included approximately $15 million in revenue from storm damage, an exceptional high level that did not repeat. A similar amount of revenue from storm damage sales took place in last year’s third quarter. This will also not repeat. In this environment, we were pleased to see 17% operating income as a percentage of sales. Our Irrigation team has been very focused on delivering productivity improvements and controlling costs. We are also benefiting from pricing discipline in this market that is better than what we have seen in past down cycles. International Irrigation revenue was negatively impacted by foreign exchange translation as a result of the rapid strengthening of the US dollar, particularly as it relates to our Brazil operations. In Brazil, sales in local currency also declined substantially as a result of economic uncertainty as well as changes in government financing programs, which are aimed to encourage investment in agricultural equipment. The remaining international markets were mixed. A highlight in the Irrigation segment is the rapid adoption by farmers of AgSense technology, a product for controlling and monitoring center pivots. You will recall, we bought a majority interest in this company during 2014. Since the acquisition, the installed number of AgSense unit has increased by 60%. Another encouraging development for AgSense is the adoption in international markets where this product line has been very well received. In the Coating segment, sales to outside customers declined due to weak markets in Australia and some weakness in custom volumes in North America, particularly from customers serving the agriculture markets. Weaker internal demand from the irrigation and utility segment also contributed to lower revenue. As part of the restructuring in the Coating segment, we idled a plant in Australia and recorded fixed asset impairment charges. In the Utility Support Structure segment, we are not near-term expecting market goals. Recently however, our coating activity for large projects has increased. These larger projects have been mostly absent from the market over the past 18 months. So we are encouraged by this emerging development. Pricing continues to be very competitive, particularly in the market for smaller projects. We recently made the decision to raise our price when bidding small projects outside our alliance customers. Not surprisingly, our hit rate declined as we walked away from projects with unattractive margins. It is too early to gauge the market’s longer term response for our actions. Let me now cover the actions taken and planned on the subject of utility capacity, cost controls and productivity improvement. Last year, we exited a lease facility and we just finished exiting our fairly large utility stock to production facility in Brenham, Texas. This facility was on the campus mainly occupied by our Engineered Infrastructure Products segment, and we do expect that one of our other segments will occupy the building vacated by our Utility segment. We also discontinued production at a small facility in California and will utilize that facility mainly as a distribution center serving our West Coast customers. We are moving equipment from these facilities to our lower cost facilities to consolidate production into fewer plants and to reduce overhead cost. As we communicated with your earlier, we have transitioned our utility plants from profit centers to cost centers. We are loading these plants centrally and have centralized purchasing of critical inputs such as steel. We continue to anticipate that these actions will add 200 basis points to profitability going into 2016, all else equal. Turning to other financial measures. Depreciation and amortization for the quarter was $23.8 million. Capital expenditures were $6.9 million. For 2015, we expect depreciation and amortization of about $95 million and capital spending of approximately $55 million as we invest in productivity improvements and maintenance projects. We generated cash flow from operations of around $61 million during the quarter, we repurchased so far 48 million shares which completed our May 2014 authorization and we have 234 million remaining on our February 2015 authorization. Our ending cash balance was $317 million. Before we take your questions, please note that beginning with next quarter's call, we look forward to introducing you to the segment President in quarterly rotation. This will provide a forum for you to hear directly from the people running the businesses and get to know them better. At this time, we'll take your questions.
Operator: [Operator Instructions] And our first question comes from Greg Bib from CJS Securities.
Greg Bib: Hi Mogens, you gave us a pretty good rundown of the restructuring stuffs that you’ve completed so far. Could you talk about what will be done by the end of the third quarter and end year, and maybe some of the savings associated with this action?
Mogens Bay: Well, I think that when we announced the restructuring, we expect the savings in the range of $20 million of operating income and we expect to conclude all the restructuring that we should deliver that improvement before the end of the year.
Greg Bib: Okay. And then, the [indiscernible] revenues in the May quarter were down 12%, I know your months don't line up and their overseas sales mix is different but that's a pretty big gap, can you shed some light on that?
Mogens Bay: Well, I would think, I talked about storm damage and we have -- when we compared, we had two months of that storm damage decline, when you look at markets here in general they do not change. I would say over the number, the last several years; they haven't moved 1% or 2% between the major players in North America. So I think storm damage is a major impact that we’re going to see also in the third quarter where we have one month left of the storm damage compared to last year and it was a big month.
Greg Bib: Okay. Alright thanks a lot.
Operator: Our next question comes from Julian Mitchell from Credit Suisse.
Charles Clarke: Hey guys this is Charles for Julian. Just had a question just in the Irrigation, just impressive margins in the quarter and you guys have been holding the margins kind of in the mid-to-high teens there even with sales coming off, I know you have a difficult sales compare in the third quarter, but do you think you'll be able to kind of hold the margins in there as well or what's an outlook I guess for the rest of the year there on profitability levels?
Mogens Bay: I can promise you that in the third quarter, which is always the weakest quarter and without storm damage, we will not have margins at that level.
Charles Clarke: Okay, great thanks.
Operator: Your next question comes from Ryan Connors from Boenning & Scattergood.
Ryan Connors: Great thank you. I wanted to talk a little bit about the Engineered Infrastructure Products, the highway business in particular and Mogens you said continued strength there in the press release and I forgot the term, I guess favorable market conditions, that's a little bit at odds with some of the feedback we've gotten elsewhere and some of the indicators on the outlook for that market. So, can you just talk a little bit about what gives you sort of the confidence in the highway budgets and that piece of the business?
Mogens Bay: Oh, you're talking about our North American lighting and traffic business?
Ryan Connors: That's correct.
Mogens Bay: Most of that business where we’re seeing the improvement is attributed to the commercial side of that business and we saw good improvement in the quarter, we still only have a five months extension of the federal highway bill and the last couple of days you've reading about maybe some political consensus about getting trapped cash offshore back to the U.S. and using some of that revenue for highway bill, I'm not counting on it, but we are focusing on improving our business in the commercial side, more than in the highway side. But we have also seen that some of the states instead of waiting for federal money have actually stepped up their own investments and we've gotten some benefits from that.
Ryan Connors: Okay. Now, one of the issues recently as I know you do manufacture some end terminals for Guardrails and I guess it’s your Ingal business is, one of the larger competitors in that business is going through some legal issues and losing a lot of market share rapidly, have you benefited at all from that?
Mogens Bay: No, because we have been using that last competitor’s end terminals in Australia.
Ryan Connors: Okay, so you resell some of that, okay. Okay that's helpful thank you.
Mogens Bay: Thank you.
Operator: Our next question comes from David Rose from Wedbush Securities.
David Rose: Good morning, thank you for taking my call. Just a couple of quick ones, if you could repeat the Capex number and then just give me a sense of, if that's actually sustainable number for '16, the run rate, I understand it was $50 million?
Mogens Bay: Yeah, so far this year. For the year, we expect about $55 million in capital expenditures, and in the current environment, where we have excess capacity in most of our businesses, I will not expect that to increase significantly next year.
David Rose: So is that dramatically lower than where you've been and even lower than what I thought maintenance cap or pretty close to what maintenance cap was I mean, if you I guess go back to 2009, you were at roughly $44 million.
Mogens Bay: I would say, our maintenance capital is still running about the $40 million.
David Rose: Okay. So that's helpful and then if we can kind of go back to the utility support structure commentary about smaller projects, you're walking away from some of the smaller projects with lower margin, so last quarter, you implied that your full capacity with the smaller products, so does that imply now that you have excess capacity even with smaller products in the Utility Support Structure business?
Mogens Bay: Well, I think, where we are is that on smaller projects as I've said over several quarters, the profitability of the margin in those projects are unattractive. And we are the largest player on this particular industry and we decided that somebody has to do something. So, we went out and raised our prices and as a result, our hit rate obviously declined and we will watch what goes on in the marketplace and make decision based on that but as I talked to you of our capacity in general, we are closing down facilities to get rid of the lot of overhead but we are consolidating some of that capacity into the lower cost facilities. We are moving equipment from the facilities we closed to lower cost facilities. That doesn’t mean that all that equipment will be put to use right away, but it will be available depending on what we see in the marketplace.
David Rose: So, that really -- I guess what I’m trying to get out is that there was -- you had some under-absorption sequentially in fixed costs, hence, the decline in margins. Last quarter, we are hoping that maybe you hit a trough on the margins. When do we start to see the pickup?
Mogens Bay: Well, I would see -- I would expect us to see the pickup as we go into 2016 because part of what you all also see reflected as numbers is expenses that doesn’t necessarily get captured in restructuring but as you close down plans and move people around and layoff people and try and refocus production in all the facilities, that is usually not done super efficiently, but when it is done, we should see lower cost and more productivity. So, I think this is something we’re going to see here starting in this -- in the second quarter and see maybe towards -- through towards the end of the year.
David Rose: So, we could see a step-down in margins in Q3 on the utility support sequentially?
Mogens Bay: I can’t predict exactly what is going to ban, but I wouldn’t expect in quarter three an improvement in margins in the utility.
David Rose: Okay. Great, thank you.
Operator: [Operator Instructions] Our next question comes from the line of Josh Berman from William Blair.
Josh Berman: Hi, good morning.
Mogens Bay: Good morning, Josh.
Josh Berman: So, I guess first question, why do you think pricing in irrigation has held up in this softer period?
Mogens Bay: It’s a good question. There is no -- I can’t give you an answer that I can tell you is the absolute right answer, but when business declines, somebody is a first mover in lowering price and so far, we have seen pretty good discipline. If I had to speculate, I’d say that the players in this market, they know that is pricing -- if somebody starts lowering the prices, it will just lower the price for everybody and market share doesn’t change. So, I think maybe over the past sometimes people have think they can sneak off on market share or gain market share in a down market and it usually doesn’t happen. So, there is nothing to be gained from the industry lowering pricing. Having said that, you know, I am pleasantly surprised that we haven’t seen more downward pressure and I hope that last.
Josh Berman: Good, thank you.
Operator: Our next question comes from the line of Brian Drab from William Blair.
Brian Drab: Hey, good morning. With all the earnings releases -- good morning. I’m jumping on late. So, I don’t know what was asked already but I wanted to see if you give you an update on Brazil among other things and the interest rate advantage -- interest rate that we expected to change midyear. We’ve seen a change in that, I can’t find anything on that?
Mogens Bay: Yeah, if you talk about Brazil, Brazil has over the last few years been a very strong market and long-term should continue to be a very strong market. You all read in the newspapers everyday all the political problems and economic problems in Brazil. So that clearly has affected the mood of the farmers in Brazil. You also have a drastic devaluation of the Brazilian real compared to the US dollars, also a big effect. But I think the financing part you talk about, that’s a financing that the government supports for agricultural equipment. Interest rates in that went up just a short while ago. So, I think 7.5% when it comes to irrigation equipment. Now, that’s up from about 4.5% if I recall correctly. It’s a major increase, but you have to put it in a context of what interest rates in general runs in Brazil and it’s much higher than that. So, this is still a pretty discount to inflation and to local interest rates. So, it may be a short-term but long-term, it’s still a very favorable interest rates for farmers to use.
Brian Drab: Okay, thanks. And then Mogens, on the last call you mentioned that you’re starting to see restrictions on water use in Brazil as well. Can you give us an update on what you’re seeing there?
Mogens Bay: There has been less talk about that in the last quarter. I can’t give you specific as to what happened but we’ve not heard much talk about that. Most of the talk is around financing and the general political upheaval that you are seeing in Brazil currently.
Brian Drab: Okay, thanks. And then there is a lot of cost cutting and productivity initiatives that you’re undertaking and will be undertaken. I’m wondering just to give us a -- if you could give us more of a sense as to where we are at this point on the, I think you used the term on the last call, lean journey, in the utility segment specifically and I don’t know if you could do this, but I’m trying to -- I’d like to ask you to kind of rate the leanness or rate those operations in terms of how lean they are in a scale of one to ten or whatever ending year-end, whatever analogy you want to use.
Mogens Bay: Well, I would say that in general, we may be about halfway through some of this restructuring. We’ll see quite a bit more in the third and the fourth quarter specifically on utility. They are the ones that have the biggest change in how they operate their business and the plants they utilize and by the end of the year, we should have that behind us and you may or may not have been on the call but I reaffirmed that I think that going into next year, we’ll see the 200 basis points we’ve talked about before.
Brian Drab: Okay. And then -- thanks for that. And then I guess did you give an update on consolidating from eight plants to four and can you talk -- did you talk about whether some of those are coatings plants or is that really primarily just focused on the Webforge business?
Mogens Bay: Well, we consolidated several Webforge plants in Australia. We idled one coatings plant in Australia and North American utility, we’re basically going into next year with three fewer plants than what we had in 2014.
Brian Drab: Okay, thanks. I’ll get back in line, thanks.
Operator: Our next question comes from Nathan Jones from Stifel.
Nathan Jones: Good morning everyone.
Mogens Bay: Good morning, Nathan.
Nathan Jones: Mogens, I think I heard you correctly, you said that you had raised process in the utility business outside of your alliance customers.
Mogens Bay: No.
Nathan Jones: No?
Mogens Bay: No, it’s the bid market, it’s the smaller projects, not the alliance customers. With the alliance customers you have pricing mechanisms in place regardless of the size of the projects.
Nathan Jones: Okay. Yeah, so you’ve raised prices outside of the alliance customers?
Mogens Bay: That’s correct.
Nathan Jones: Can you talk about the thought-process that goes into taking that step in an environment such as the one you are in now, because I mean that sounds like a fairly risky approach to take to the market at this point?
Mogens Bay: Well, yes, whenever you raise prices in a market that’s not too buoyant it comes with a risk, but we may decide over time that that -- particularly part of the business, the very low margins that we don’t want to reenter. On the other hand if you start raising pricing, you may have other places in the market follow suit, because some of the price levels we have seen, the pricing is not very attractive.
Nathan Jones: Have you seen anybody follow suit thus far and when did you actually go about doing this?
Mogens Bay: I would say probably around the first part of the second quarter and it’s too early to say how the market reacts, but we have seen lead times moving out and usually when lead times move out, that would indicate that we may see some improvement in pricing, but as I said, I think in my prepared remarks, it’s too early to say what’s happening.
Nathan Jones: Could you give us a little bit more color on how much lead times have stretched out? I know that’s a good indicator for potential improvement in pricing?
Mogens Bay: Well, I would say that when you talk about lead times, you see what happens in certain projects and some lead times from certain players have moved out maybe several weeks.
Nathan Jones: Alright, thanks very much for the color. I appreciate it.
Operator: Our next question comes from Kevin Bennett from Sterne, Agee.
Kevin Bennett: Hey, good morning, guys.
Mogens Bay: Good morning, Kevin.
Kevin Bennett: Mogens, going back to your comment on the utility business about increased quoting in large projects, I was wondering if you could provide a little bit more color on that and what may be driving that and kind of time frame and are any of these starting to hit.
Mogens Bay: Over the last quarter or so, as we have talked about in the past, we have seen a switch in this market for smaller projects. Some of that pendulum has been swinging a little back towards larger projects that none of them are for 2015 delivery, some 2016, some 2017. But just the fact that it’s happening is encouraging. And you can speculate and it depends utility by utility how capital allocations are being made. Some utilities, as you know, have had to use capital for closing down coal plants and some of that may be behind them and then more gets allocated for transmission. So – but in the aggregate, we have seen quoting activity pick up for larger projects. And the larger the projects, probably the fewer players can participate in that and we will see what happens.
Kevin Bennett: Got you. It’s certainly encouraging. If I think about, I know that steel costs certainly hurts you in the utility business on the top line, but all the rest of your businesses, thinking about the margin impact, is there any way you can potentially quantify the impact of lower steel and lower other commodity prices?
Mogens Bay: I would say that in general, obviously we have seen the steel price have a major impact on revenue in all the – our structural businesses. Usually, we try and not see a deterioration, but hopefully a pickup in margins as steel prices decline. At the same time, we have seen markets being weaker than they were in the past, but I would say in general, not in the utility business, but in EIP in particular, margins in those businesses have been holding up well.
Kevin Bennett: Okay. And then last question on your buyback. I was wondering, is there any time frame for you guys to complete that? I think it was, what, $234 million left or something like that. 
Mogens Bay: No, it’s an open-ended. We, unlike the first $500 million, we don’t have an end to it, but we are active in the market nearly daily.
Kevin Bennett: Okay, thank you.
Operator: Our next question comes from Jon Braatz from Kansas City Capital.
Jon Braatz: Good morning, Mogens.
Mogens Bay: Good morning, Jon. 
Jon Braatz: In the utility sector, have you seen any other players reduce capacity, consolidate plants during this year?
Mogens Bay: Yes, we have. I think Sabre has reduced capacity and there are some anecdotal, as people don’t announce it, it’s mainly anecdotal, but in general for sure we haven’t seen capacity additions, but we have seen some capacity consolidations.
Jon Braatz: Okay, good. Secondly, I think in the first quarter you indicated that maybe up to $60 million in restructuring cost during the year. How do you see that number at this point?
Mogens Bay: We indicated up to $60 million, we didn’t say during the year, but that’s still a fairly good number to keep in mind. 
Jon Braatz: Okay. And then lastly, Mark, as it stands right now, when you look at the currency, would you anticipate the currency impact to be maybe greater or less than what we saw in this past quarter. I know things are going to fluctuate by the end of quarter, but as you see it sort of now?
Mark Jaksich: Yeah, so far this year, year-to-date we’ve had an impact of about $7.5 million negative on that. We will see more of that in the second half although currency started to move towards the back end of the year, so that point-to-point impact here diminished, but right now based on the rates we see right now, we are looking at for the year something in the neighborhood of $14 million to $15 million impact on operating income just due to transmission.
Jon Braatz: Yeah, okay. Thanks, Mark.
Operator: Our next question comes from Jose Garza from Gabelli.
Jose Garza: Good morning, guys.
Mogens Bay: Good morning.
Jose Garza: Maybe I missed this, but I was wondering if you could kind of quantify the decline in North America on the utility structure side, just how much was volume versus price and then maybe steel?
Mogens Bay: I would say that it’s about half and half, volume and price. 
Jose Garza: Okay. And then just broadly thinking about the international side in that same business, what kind of outlook do you have there for the rest of the year and looking out? I know you mentioned that project in conjunction with SM.
Mogens Bay: I would say that, first of all, the international utility business is insignificant in relation to the overall business. I would say, it’s no more than 10%. And it is a lumpy business because it tends to be project business. So I would say that on balance, the revenue internationally have stayed pretty stable over the last few years and I don’t see any reason for that to change, because it is project related and it depends on how many projects we will get in any given quarter or year.
Jose Garza: Okay. But no significant upturn of any kind?
Mogens Bay: I don't think so.
Jose Garza: Okay. Thank you very much.
Operator: And we now have a follow-up question from Craig Bibb from CJS Securities.
Craig Bibb: Hi. Could you give us a little bit of a early read on the irrigation market and some of the commodity prices that ticked up a little bit, acreage is down for some?
Mark Jaksich: Well, first of all, yes, we've seen a little uptick in commodity prices, probably as a result of wet spring and particularly here in the Midwest. But the fact of the matter is that we still have high ending inventories of the major commodities. We are not experiencing any production problems of any significance around the world. So there is no indications of that that we are just about to see an increase, sustainable in commodity prices. A lot will depend on the growing season now for the rest of the summer here in North America, but I'm not expecting any uptick in the general environment in our irrigation business in the foreseeable future.
Craig Bibb: Okay. And then it looks like there is a late start to the soy planting, how does that impact you?
Mogens Bay: Well, soybean is also an important crop for us, I think second only to corn. So it will have an impact. Soybean prices have also picked up a little bit, but this is probably the worst time to try and predict the fall season, but I would say I'm cautious and I didn't say cautiously optimistic.
Craig Bibb: Alright, thanks a lot.
Mogens Bay: Thank you.
Operator: And we have another follow-up question from Ryan Connors from Boenning & Scattergood.
Ryan Connors: Great, thank you. So just wanted to revisit this topic of pricing in irrigation, and walking the floors of some of the big ag shows this year, it's immediately clear that there is a sharp increase in promotional rebates and other promotional activity by yourself and others. So I mean that’s very clear in the marketplace, so how do we reconcile that with your stance that you’re seeing absolutely no pricing pressure whatsoever. Is it that a rebate is not called a price increase per se or is it that your dealers are absorbing the entirety of that pain or is it something else, I’m trying to reconcile that.
Mogens Bay: Okay. First of all, Ryan, I didn't say absolutely no effect on pricing. I said we have not seen much and as you can see in our quality of earnings, they’ve been holding up pretty well. But every year, there are short-term programs in place for most competitors to try and drive equipment sales in one month to another. That has not changed, but we haven't seen a broad program that lowers the pricing in the marketplace. What you’re seeing when you visit farm shows is the typical short-term, sometimes, regional programs to try and entice farmers to come into the dealership at a time of the year where they really don't need to get into the dealership. So those things happen year in and year out, but a broad initiative on behalf of a player to really change the market dynamics, we have not seen. Okay. Just to be clear, I mean we do tend to do that annually and it has been pretty notable uptick, but just to be clear on how that works, so when there is a rebate program, will that be something that Valley offers on a corporate level or is that a dealer something that the dealer is absorbing to drive his own business?
Mogens Bay: No, that's usually coming from our Valley irrigation business.
Ryan Connors: Okay. So there is a corporate. Great, well, thanks for your time.
Mogens Bay: Alright.
Operator: [Operator Instructions] We have a follow-up question from Brian Drab from William Blair.
Brian Drab: Hi, Mogens. Can you just summarize what your expectations are for the benefits from cost reduction initiatives in place? I know you said it on the last call, 30 million spent recovering, 19 million of that and roughly I guess you said recovering the cash portion of that, which was 19 million over 12 to 18 months, can you summarize total expectations for cost reductions?
Mogens Bay: Well, I think the number is still a good number to use going into 2016, but as I also said in my prepared remarks, we are taking a close look at all spending at all levels, nothing is off the table, because as I said, we do not see any significant change in the external environment in the foreseeable future. So we had to step up our efforts to cut our costs and we will do that starting at corporate and going through every aspect of the corporation.
Brian Drab: Okay. Is the 200 basis points that you are talking about on the utility segment though included in that 30 million in spend?
Mogens Bay: Well, there is probably going to be some of it that’s related to that rate restructuring, but most of that 200 basis points should come from productivity improvements in that business beyond just taking overheads out when we consolidate plants.
Brian Drab: Okay, thanks. I'll follow up more with Jeff later. Thank you.
Operator: And there are no more questions at this time. I turn the call back over to you, Mr. Jeff Laudin.
Jeff Laudin: Thank you, Kayla. This concludes our call and we thank you for joining us today. The message will be available for playback on the Internet or by phone for the next week. We look forward to speaking to you again next quarter and at this time, Kayla will read the forward-looking statements.